Operator: Good day ladies and gentlemen and welcome to the First Quarter 2010 Calumet Specialty Products Earnings conference call. My name is Carmen and I’ll be your coordinator for today. At this time all participants are in a listen only mode. (Operator Instructions) later we will conduct a question and answer session. I would now like to turn the call over to your host for today Mr. Derek Daniel, Investor Relations Director please proceed.
Derek Daniel: Thank you operator, good afternoon and welcome to the Calumet Specialty Products Partners investor call to discuss our fourth quarter 2010 financial results. During this call Calumet Specialty Products Partners L.P. will be referred to as the partnership or Calumet. Also participating in this call will be Bill Grube, our CEO and Vice Chairman; Jennifer Straumins our President and COO and Pat Murray our CFO. Following the presentation we will hold the line open for question and answer session. During the course of this call we will make various forward looking statements within the meaning of the Section 21A of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management, as well as assumptions made by them and in each case based on information currently available to them. Although our management believes that the expectations reflected in such forward-looking comments are reasonable. Neither the Partnership, its general partner nor our management, can provide any assurances that such expectations will prove to be correct. Please refer to the Partnership’s press release that was issued this morning, as well as our latest filings with the Securities & Exchange Commission. For a list of factors that may affect our actual results and could cause them to differ from our forward-looking statements made on this call. We are very pleased with our results for the fourth quarter. Our specialty products production level and gross profit significantly improved over the third and fourth quarters of 2010 compared to the first half of the year. With our specialty products production reaching the highest point in our history for any fourth quarter, we continue to focus on increased run rates to meet the higher demand for our specialty products and to benefit from current fuel products crack spreads. Finally as announced on January 14th 2011, the Partnership declared a quarterly cash dividend of $0.47 per unit for the quarter which ended December 30, 2010 on all outstanding units. The distribution was paid on February 14th 2011 to unit holders of record as of the close of business on February 4th 2011. This distribution represents an increase of $0.01 per unit from the third quarter of 2010. I’ll now turn the call over to Pat Murray for a review of our financial results.
Pat Murray: Thank you Derek, net income for the fourth quarter of 2010 was $9.5 million compared to net income of $8.2 million for the same period in 2009. The $1.3 million improvement in our net income quarter-over-quarter was due primarily to an increase of $20.7 million in gross profit partially offset by decreased realized derivative gains of $4.7 million and higher transportation expense of $3.8 million due to increased sales volume. These results were also impacted by an increase in non-cash unrealized derivative losses of $8.1 million which may or may not be realized in the future as the derivates are settled. We believe the non GAAP measures of EBITDA adjusted EBITDA and distributable cash flow are important financial performance measures for the Partnership. EBITDA and adjusted EBITDA as defined by our credit agreements were $34.1 million and $40.8 million respectively for the fourth quarter of 2010 as compared to $32.2 million and $26.8 million respectively for the same quarter in 2009. The Partnership’s distributable cash flow for the fourth quarter of 2010 was $31.5 million as compared to $18.4 million for the same period last year. The increase in adjusted EBITDA quarter-over-quarter was due primarily to higher gross profit partially offset by decreased realized gains on derivatives and increased transportation expenses associated with increased sales volume. We encourage investors to review the section of the earnings press release found on our website entitled non GAAP financial measures and the attached tables for discussion and definition of EBITDA, adjusted EBITDA and distributable cash flow financial measures and reconciliation of this non GAAP measures to the comparable GAAP measures. Gross profit by segment for the fourth quarter of 2010 for specialty products and field products was a profit of $56.7 million and a loss of $1.4 million respectively compared to gross profit of $27.5 million and $7.1 million respectively for the same period in 2009. The increase of $29.2 in specialty product segment gross profit quarter-over-quarter was due primarily to an increase of 19.4% in the average selling price by barrel while the average cost of crude oil per barrel increased only by 13.7%. Also specialty products sales volume increased 20.3% due primarily to improvements in overall specialty products demand under improved economic conditions and from the addition of sales volumes under our specialty products agreement with Houston Refining LP, a wholly owned subsidiary of LyondellBasell which become effectively during the fourth quarter of 2009. The decrease of $8.5 million in field product segment gross profit quarter-over-quarter was due primarily to a 12% decrease in fuel products sales volume as a result of lower overall [inaudible] rates at our Shreveport refinery due to the scheduled turnaround of various field processing units during the fourth quarter as well as net 10.3 million decrease in derivative gains on our fuel products crack spread cash flow hedges. Partially offsetting this decrease was a slight improvement in crack spreads as the average selling price per barrel of our fuel products increased by $17.5 million – 17.5% rather driven by market conditions while the average cost of crude oil per barrel increased by 14.1%. Selling, General and Administrative expenses increased $3.4 million or 39% to $12.3 million in the three months ended December 31st 2010 from $8.9 million in the same period in 2009. This increase is primarily due to the write off of the remaining cost related to the proposed offering for senior unsecured notes in July 2010 which we opted not to complete as well increased incentive compensation cost. Transportation expenses increased $3.8 million or 20.9% to $22 million in the three months ended December 31st 2010 from $18.2 million in the same period in 2009. This increase is primarily due to increased sales volumes of lubricating oils, solvents and waxes. Interest expense decreased $0.2 million or 3% to $8 million for the quarter ended December 31st 2010 from $8.2 million for the same quarter in the prior year primarily due to lower balances being carried on the revolver and term loan and lower interest rates during the fourth quarter as compared to the same period in 2009. As of December 30th 2010 total capitalization As of December 30, 2010, total capitalization consisted of partners’ capital in the amount of $398.3 million and outstanding debt of $369.3million, comprised of borrowings of $367.4 million under the term loan facility with an unamortized discount of $10.7 million. On the term loan, borrowings of $10.8 million under the revolving credit facility and a long-term capital lease obligation of $1.8 million. The $87.1 million decrease in Partners’ capital from December 31, 2009 was primarily due to $65.7 million of distributions to partners and a $40.3 million decrease in other comprehensive income primarily due to a decrease in the fair market value of our derivative instruments as well as the settlement of derivative instruments designated as cash flow hedges, partially offset by net income of $16.7 million. We finished the fourth quarter of 2010 in compliance with all of the financial covenants pursuant to our credit agreement which are measured quarterly. While assurances can’t be made regarding our future compliance with these covenants, we believe that we will continue to maintain compliance with all of the covenants in our credit agreements. On December 31st 2010 Calumet had availability of $145.5 million under our revolving credit facility based on the $247 million borrowing base, $90.7 million in outstanding standby letters of credit and outstanding borrowings of $10.8 million. We believe that we will continue to have sufficient cash flow from operations and borrowing capacity to meet our financial commitment, minimum quarterly distributions to unit holders, debt service obligations, contingencies and anticipated capital expenditures. On February 14th 2011 we satisfied the last of the earnings and distribution test contained in our partnership agreement for the conversion of all 13.66 million outstanding subordinated unit held by the owners of our general partners and their affiliates into common units on a one for one basis. The last of these requirements was upon payment of the quarterly distribution on February 14th 2011. Effective as of today all the subordinated units converted to common units. Please note that since our inception these subordinated units have been paid quarterly distributions equivalent to our common units. Now I’ll turn the call back to Jennifer Straumins.
Jennifer Straumins: Thank you Patrick. Thank you very much. Operator we would be happy to take any question.
Operator: (Operator Instructions) and the first question comes from the line of Darren Horowitz with Raymond James. Please proceed.
Darren Horowitz – Raymond James: Good afternoon the two on one crack spread has blown out dramatically so far here in the first quarter and it’s clearly benefiting your field products spread. I would imagine to a greater extent than what you realized during the fourth quarter so I’m curious now that you are half way through the first quarter how was your fuel product segment gross profit tracking versus the same quarter last year.
 Jennifer Straumins: You know how our hedges barrels are so we will be realizing the crack spread that were hedged out for those barrels and then any incremental production we would be selling assets Gulf Coast two on one crack spread plus a slight local market premium.
Darren Horowitz – Raymond James: And that spread Jennifer right now while the two on one is what about $26.
Jennifer Straumins: That’s correct.
Darren Horowitz – Raymond James: And remind me again what your premium is.
Jennifer Straumins: It’s less than a dollar a barrel.
Darren Horowitz – Raymond James: Okay, how much as the differential between WTI and Brent altered your profitability either on fuel products or on specialty products.
Jennifer Straumins: It has certainly helped us. We’ve got a lot of competitor who do by crude off of Brent based formulas and a lot of our crude contracts are off of WTI formulas. We have seen some of the local barrels that we purchased to run Shreveport those differentials have increased the price more along the lines of Brent than WTI so we are not realizing that huge spread on all barrels that we use.
Darren Horowitz – Raymond James: Okay, can you quantify maybe a rough percentage on the barrels that you use where you are realizing that spread? I’m just trying to get a sense.
Jennifer Straumins: About 25,000 barrels a day Shreveport is priced off at WTI and then all of our Princeton and Cotton Valley we priced off WTI.
Darren Horowitz – Raymond James: Okay, can you just give us a little bit more color around how you expect to increase your run rates to meet a lot of this demand? I mean maybe it’s a situation where you can further rationalize cost or enhance capacity utilization at Shreveport or Princeton but additional color would be helpful.
Jennifer Straumins: Sure, we are looking at new debottlenecking projects at Shreveport and the first of those will be done in a couple of months. We’ve got a couple of units down for turnaround now and expect to have optimized results as soon as we come back up and about a week and half. And looking at our solvents production we are looking to increase solvents production as well. The jelly [ph] include markets has been very, very strong for us with all of the Shale production that we see both down south as well up in Pennsylvania and Princeton not a lot of room for expansion there but that’s why we did the Lyondell agreement last year. That’s gives us more market share, more barrels to market there. The higher demand why we can’t increase production we are realizing the most potential from higher margins because demand is so strong.
Darren Horowitz – Raymond James: Okay and if we were to quantify your debottlenecking initiatives in aggregate. You know how much you think that would cost?
Jennifer Straumins: These are very small projects.
Darren Horowitz – Raymond James: Okay and then final question for me just as it relates to the sequential distributions that we’ve seen. You bump the distribution by $0.05 in the third quarter sequentially and then by a $0.01 in the fourth quarter. And I’m just curious as to the thought process by the increase in that sequential distribution growth was it a situation where there was a chance in the operational environment that you think is going to lead the substantially higher cash flow. How should we think about future distribution growth based on your outlook for the operating environment?
Jennifer Straumins: I think we’ve been able to increase distributions several times over the past few years. It’s just the business is a lot healthier than it was a few years ago and also our reliability in operations continues to get better and better each quarter and that’s really what’s driving that.
Darren Horowitz – Raymond James: Okay, so it’s not necessarily a situation where you are looking at existing cash flow coverage and you have a target in mind and are growing the distribution commensurate with that?
Jennifer Straumins: We say this several times that our target distribution coverage ratio is 1.3 times, we are at 1.9 times for the fourth quarter however really at 1.2 times for the whole year 2010. So our goal is to continue as our business continues to grow and become more profitable we would like to do this small distribution increases every quarter so that we can say we’ve increased distribution during the last consecutive x quarters – staying 1.3 times coverage ratio.
Darren Horowitz – Raymond James: Sure, I appreciate the color. Thanks Jennifer.
Operator: (Operator Instructions) and the next question comes from the line of Brian Zarahn from Barclays Capital. Please proceed.
Brian Zarahn – Barclays Capital: Good afternoon.
Jennifer Straumins: Hi.
Brian Zarahn – Barclays Capital: In specialty products can you give us a sense of where you think margins will be in the first quarter versus the fourth quarter of last year?
Jennifer Straumins: Well we don’t really give guidance but demand has been very strong and we’ve had – I’m sorry we’ve increased prices in two of our product segments and while crude has remained very stable so you can assume from that we would anticipate that it would be stronger than they were in the fourth quarter assuming that March turns out to be as good as February and January has been for us.
Brian Zarahn – Barclays Capital: Okay, can you talk a little bit more about how your facilities may been impacted at all by weather or turnarounds and how that could affect volumes in the first quarter.
Jennifer Straumins: We’ve had some turnaround activity during the first quarter. Some of our solvents units have been down for turnaround so you will see slightly less volume coming out of that segment but not substantially less and then we’ve did a small turnaround at Shreveport but that really shouldn’t don’t anticipate that impacting production on a quarterly basis we will be able to increase rates during the second half of the quarter to make up for that. And we also build inventory prior to the turnaround to take care of that. Weather impacts we’ve had some minor outages due to the ice storms in Louisiana and that would probably impact us more than our turnaround activity will. We lost power twice during the ice storms in Shreveport and probably lost about 4 to 5 days of production in total from that.
Brian Zarahn – Barclays Capital: Okay and then I guess finally on looking further down the road how do you think Chevron planned expansion of its Mississippi refinery to increase base oil production will impact the competitive landscape.
Jennifer Straumins: We’ve seen around 30,000 barrels of Group 1 paraffinic production go out of the market over the last few years and really the recession was the only thing that kept that from being a really huge impact on that market and so we think that we will continue to see some pressure for additional group 1 facilities to shut down and we feel that the Chevron expansion is just filling a hole in the market place.
Brian Zarahn – Barclays Capital: Okay thank you Jennifer.
Operator: And we’ve no further question at this time.
Derek Daniel: Thank you operator, this concludes the Calumet Specialty Products Partners Earnings conference call covering the company’s fourth quarter 2010 results. Thank you very much for participating in the teleconference. Please note that the teleconference will be available for replay using the instruction contained in our press release.